Operator: Thank you for standing by, and welcome to the Hexcel Third Quarter 2024 Earnings Conference Call. All participants are in a listen-only mode. After the speakers remarks, we will conduct a question and answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Patrick Winterlich, Chief Financial Officer. Thank you. Please go ahead.
Patrick Winterlich: Thank you, Julian. Good morning, everyone. Welcome to Hexcel Corporation's third quarter 2024 earnings conference call. Before beginning, let me cover the formalities. I want to remind everyone about the safe harbor provisions related to any forward-looking statements we may make during the course of this call. Certain statements contained in this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. They involve estimates, assumptions, judgments and uncertainties caused by a variety of factors that could cause future actual results or outcomes to differ materially from our forward-looking statements today. Such factors are detailed in the company's SEC filings and earnings release. A replay of this call will be available on the Investor Relations page of our website. Lastly, this call is being recorded by Hexcel Corporation is copyrighted material. It cannot be recorded or rebroadcast without our express permission. Your participation on this call constitutes your consent to that request. With me today are Tom Gentile, our CEO and President; and Kurt Goddard, our Vice President of Investor Relations. The purpose of the call is to review our third quarter 2024 results detailed in our news release issued yesterday. Now let me turn the call over to Tom.
Tom Gentile: Thanks, Patrick. Good morning, everyone, and thank you for joining us today as we share our 2024 third quarter results. I have now been with Hexcel nearly 6 months, and my excitement continues to grow as I learn more about this world-leading technology company, our talented team and Hexcel's innovative lightweighting solutions. I have visited more than 80% of Hexcel sites in the U.S., Europe and Africa. And I can say the technology, innovation, operational expertise and focus on execution is truly outstanding. Just last week, I was at our state-of-the-art technology center in Salt Lake City with the Hexcel leadership team and our global R&D leaders, reviewing the latest technology developments across the company and setting priorities for the future. As a relative newcomer to Hexcel, I can tell you the extent of innovation across the company is incredible and something we intend to continue investing in and promoting strongly going forward. Hexcel is on a long-term growth trajectory. And with every new generation of commercial and military aircraft using more advanced composite materials for improved fuel efficiency and range for emissions reduction and for aerodynamic structural design benefits. The medium- to long-term future for Hexcel and our innovative lightweighting solutions is remarkable, and the cash generation and shareholder return potential is compelling. IATA's latest global air traffic statistics illustrated that global passenger air travel has exceeded pre-pandemic peaks and that airline load factors reached a record in August. This probably comes as no surprise to you as I'm sure we are all experiencing full flights whenever we travel. Consistent with this picture of robust health for airline passenger demand, the backlog for new Airbus and Boeing aircraft is at an all-time high of just under 15,000 aircraft on order. That's a lot of plans to build with a lot of composite materials. However, as we all know all too well, despite the strong demand for new fuel-efficient planes, ongoing and new supply chain challenges, including the strike at Boeing, continue to disrupt planned increases in production rates. Coming out of 2023, there was a sense in the industry that we were finally achieving some stability after the pandemic. Both Boeing and Airbus publicly pointed to signs of improvement within the supply chain. By late 2024, however, new challenges emerge in the supply chain, including the supply of engines, passing, speeds and landing gear to name just a few, that have pushed the recovery in production rates further to the right. At Hexcel, our job is to focus on what we can control, driving operational excellence, maintaining quality standards, keeping a robust script on costs and delivering to our customers on time. And I am determined to maintain and reinforce the strong focus that has been in place for many years at Hexcel. As we have communicated previously, we are working hard to ensure that we are ready to satisfy the demand in front of us. We are typically sole sourced and with that comes a responsibility for on-time delivery. To this end, earlier in the year, we recruited the next wave of direct labor that we needed to meet the forecasted strong demand ahead of us. And we've continued to focus on training and expanding shop floor experience to prepare for the eventual higher production rates, which our customers are publicly forecasting in their schedules. It takes time for our new employees to learn our processes and become efficient and productive on the shop floor. As we have highly technical operations requiring significant training and experience. Therefore, we need to hire 2 or 3 quarters ahead of when we expect the demand to develop. As we have said before, this start, stop, start, and delayed ramp-up environment means that periodically, we will carry too much labor and overhead infrastructure costs, which will be a near-term headwind to margins. We believe we are making a correct decision regarding the timing of adding and training new labor. Although the production rate increases are slower than we would like, there is no question our demand is on an upward trajectory, and we are confident we have taken the right steps to support our customers experience and capable labor as they execute on their schedule for production rate increases. We will continue to monitor how those production rates evolve and align our headcount and cost base accordingly. In September, we held our annual strategic review with the Hexcel board. One of the key areas of focus that came out of that strategic review was the importance of our Defense and Space business as the only vertically integrated U.S.-based American Advanced Composite Company, Hexcel has significant and unique opportunities to develop and sell more critical composite technology into the defense and space markets. During our strategic review, we also made some decisions about our current market focus. For many years, Hexcel has produced material for select industrial markets, including wind energy and certain recreation markets such as winter sports. These businesses historically focused on high volumes of glass fiber free trend, no longer aligned with our strategic priorities. We are, therefore, currently exploring strategic options for our plant in Austria which produces material for these markets and which we believe will be better served with different ownership. I will now turn to our third quarter results released last night. Hexcel's third quarter sales of $457 million were up more than 8% year-over-year on solid performance, especially so in commercial aerospace, where sales grew 17% year-over-year. At $0.47, adjusted EPS was over 20% better than Q3 2023 with strong adjusted EBIT leverage. While third quarter sales grew strongly year-over-year, they also reflected the normal third quarter seasonality we typically experience from the European summer vacation period. In addition, there are the ongoing supply chain challenges impacting the commercial aerospace market, the latter part of the quarter was marginally impacted by the Boeing strike. Given the previously discussed higher overhead infrastructure and labor levels being carried right now at Hexcel, combined with the expected lower third quarter sales run rate, we experienced an anticipated reduction in our margins in the third quarter on a sequential basis. Overall, the third quarter of 2024 came in generally close to our expectations. So it should be noted that our adjusted EPS benefited from tax planning work coming together in the period. Given all the challenges we see in the marketplace, we expect our 2024 results will be within our current guidance but at the lower end of the range and benefiting from the lower effective tax rate of 19% versus 22%. Commercial Aerospace sales of $296 million increased 17% in constant currency compared to the third quarter of 2023. Our three key commercial aerospace programs, the A350 the A320 neo and the 787, all generated double-digit sales growth year-over-year. We should note that the work we do for Airbus programs is nearly 3 times as large as the work we do for Boeing. And our Boeing work is about half focused on the 787, which is built in Charleston, South Carolina, a plant which is not involved in the current Boeing strike in the Puget Sound area of Washington State. Secular growth from business jet composite adoption is driving the growth in other commercial aerospace, which grew 9% in the third quarter. Turning to Space & Defense. Sales of $128 million were essentially flat in constant currency. While select key programs grew, including the Lockheed F-35 and the Sykors-PCA-53K and Black Hawk helicopters, the space mix subsegment was broadly soft, including launchers, satellite and rocket motor. The V-22 is also a headwind as that program winds down. During the quarter, we are excited for 2 of our plants, Pottsville, Pennsylvania, in Salt Lake City, Utah to be awarded the Sikorsky 2023 Elite Supplier status based on best-in-class on-time delivery and quality. Such rewards reflect our endless pursuit of operational excellence and fuel our passion for continuous improvement. We are also 1 of only 15 suppliers nominated by Airbus for a prestigious transformation award at their annual supplier conference in Talus 2 weeks ago. I would now like to address the medium-term guidance that we presented in February of this year. The foundation for that guidance was the best demand and production rate forecast available at that time, which supported a growing sense of confidence in the supply chain and production rates. We believe that the guidance we provided was a conservative view on the growth outlook. Now 8 months on from providing that guidance, it is clear that the world is not where we had expected it to be. Turbulence in the commercial aerospace OEM supply chain has continued unabated. As I noted earlier, issues over the last 4 to 6 months with engines, casting seat, planning here and now the Boeing strike are constraining any sustained near-term improvement in the commercial aerospace supply chain, and we have seen further delays to production rate increases such as those announced by Airbus this past June. And we now had time to assess the situation and more deeply review the current data and outlook for Hexcel. It is clear that the assumptions that were the basis for our midterm guidance are no longer balanced. We are therefore withdrawing our previously issued midterm guidance, and we will provide guidance for 2025 with our Q4 earnings in January. With that said, we remain confident in the outlook for commercial aircraft and expect both Airbus and Boeing to continue to increase their production rates over the coming quarters, and continue to do so for many years to come in order to deliver on their historic backlog. We also retain our confidence in Space and Defense markets as well as our conviction in the cash generation ability of Hexcel. Reflecting this confidence and strong belief in the value proposition for Hexcel, we repurchased around $50 million of Hexcel stock during the quarter -- of this quarter in 2024, which brings the total stock repurchases to just over $250 million this year, a significant return of cash to our shareholders. Our expectation is for Hexcel to generate strong EBITDA margins and cash flow for years to come. Since we have already invested the capital to support the production rates in effect in 2019, we expect capital expenditures to remain below $100 million per year for the foreseeable future. We will focus on optimizing our capital deployment where our priorities remain unchanged, namely funding organic growth when required and then considering M&A and inorganic growth in a very disciplined and strategic manner. Also, we will continue to pay a dividend with a notional target payout ratio of roughly 20% of net income in the medium to longer term. This will be accompanied by a program of periodic share repurchases, while we operate within our targeted net debt-to-EBITDA leverage ratio of 1.5 times to 2 times. We remain confident in a strong future with robust growth and strong shareholder returns. Now let me turn it over to Patrick to provide more details on the numbers. Patrick?
Patrick Winterlich: Thank you, Tom. As a reminder, regarding foreign exchange exposure, and I have explained in detail during previous earnings calls, Hexcel benefits from a strong dollar. We continue to hedge foreign exchange exposure over a 10-quarter first time horizon. The year-over-year sales comparisons I will provide are in constant currency, which thereby removes the foreign exchange impact to sales. The commercial aerospace market represented approximately 65% of total third quarter 2024 sales of $456.5 million. The third quarter commercial aerospace sales increased 17% compared to the third quarter of 2023 with double-digit growth in our 3 key platforms, the Airbus A350, A320 and the Boeing 787. The 737 MAX is a smaller program for us as it is predominantly a metal plane launched in the 1960s when composites were still in their infancy. The majority of our content is with the LEAP engine in nacelle. In the third quarter of 2024, our MAX sales were marginally impacted by the Boeing strike and lower both year-over-year and sequentially, though the materiality of the impact is less than the decline in our other key programs would have been. The other commercial aerospace category increased 9.1%, led by robust latest generation business jet sales. To share some further perspective on our commercial aerospace business year-to-date, wide-body sales comprised just under 40% of total year-to-date commercial aerospace sales. Narrow-body sales were just over 30% and other commercial aerospace, including business and regional aircraft was approximately 20%. Space & Defense represented approximately 28% of third quarter sales and totaled $128.2 million, decreasing just under 1% from the same period in 2023. As we have previously said, this market can be volatile quarter-to-quarter. In the third quarter of 2024, CA-63K and Black Hawk program both experienced growth, including Black Hawk replacement helicopter blades, a good aftermarket business for us. The Bell V-22 program is winding down. So that is a headwind for us in terms of year-over-year sales comparisons. And in the third quarter, the space submarket was weaker both domestically and abroad, including satellites, launches and rockets. Production volumes are lower in space and can be lumpy, leading to greater quarter-to-quarter volatility in our sales historically. Industrial is a much smaller part of our business, comprising only 7% of third quarter 2024 sales and totaled $32.4 million, decreasing 17.3% compared to the third quarter of 2023. We experienced softness across all the submarkets, including high-end performance automotive. Turning back to total company sales. And as we expected, summer holidays led to a sequential sales decline as demand softened seasonally from our European-based commercial aerospace, business jet, space and defense and industrial customers. Gross margin of 23.3% in the third quarter of 2024 favorably compared to the prior year period gross margin of 21.8%. The improvement reflects the operating leverage from higher sales. As a percentage of sales, selling, general and administrative expenses and R&D expenses were 11.7% in the third quarter of 2024 compared to 11.6% in the comparable prior year period. As I mentioned last quarter, there is a modest cost impact from the CEO transition that will recur in the fourth quarter of 2024 and then conclude at year-end. Adjusted operating income in the third quarter was $52.9 million or 11.6% of sales compared to $42.8 million or 10.2% of sales in the comparable prior year period. The year-over-year impact of exchange rates in the third quarter to operating income was favorable by approximately 10 basis points. Now turning to our two segments. The Composite Materials segment represented 81% of total third quarter sales and generated an operating margin of 14.4%. The operating margin in the comparable prior year period was 12.3%. The Engineered Products segment, which is comprised of our structures and engineered core businesses, represented 19% of total sales and generated an 11.2% operating margin as compared to 7.8% in the comparable prior year period. Net cash provided by operating activities was $127.3 million for the first 9 months of 2024, which compares to $98.1 million for the same period in 2023. Working capital was a cash use of $93.1 million for the first 9 months of 2024 and was a cash use of $112.1 million for the comparable prior year period. Capital expenditures on an accrual basis were $59.6 million for the first 9 months of 2024 compared to $88.7 million in the comparable prior year period. Recall that in 2023, we purchased the land and building for our Amesbury, Massachusetts operation for approximately $38 million. Free cash flow for the first 9 months of 2024 was $58.9 million, which compares to $3.7 million for the first 9 months of 2023. Inventory remains higher than I would like, and we have work to do to improve our inventory days as sales expand. While I'm on the topic of inventory, our three commercial aerospace platforms, including the A350, A320 and the 787s are all on an upward growth trajectory as our customers work to increase production rates to meet the strong demand for these aircraft. We feel that channel inventories for our material are generally aligned with the growth outlook. Remember, it is production rate increases that are being pushed out. Rates are not being cut. Channel destocking occurs when production rates are cut. The Board of Directors declared a $0.15 quarterly dividend yesterday. The dividend is payable to stockholders of record as of November 1 with a payment date of November 8. We continued repurchasing Hexcel stock, acquiring $50 million of common stock during the third quarter. Year-to-date through September 30, repurchases totaled $252.2 million. The remaining authorization under the share repurchase program as of September 30, 2024, was $234.9 million. As we discussed last quarter, fluctuating end market demand limits our ability to optimize our operations and results in a higher cost base near term that is not aligned with current production levels. This dynamic is continuing to play out as new shortages develop within the greater aerospace supply chain, leading to ramp rates being pushed out by some of our customers. For example, one narrow-body engine supplier publicly reduced their original 2024 shipment forecast from up 20% to 25% to instead be flat to up 5%, which illustrates how supply chain disruptions are impacting aircraft build rates. As we grow into our cost base, we will continue to focus on employee training and driving efficiency improvements throughout our business. While we are maintaining our 2024 guidance despite these headwinds, we expect sales and adjusted EPS to be at the lower end of the previously communicated range. Admittedly, the adjusted EPS guidance is supported by a more favorable tax rate as we now expect the 2024 tax rate to be around 19% rather than the previously communicated forecast of 22%. This lower rate reflects effective overseas and R&D tax planning. As Tom discussed, our midterm guidance issued in February should no longer be relied upon, reflecting recent impacts and the continued uncertainty in the overall aerospace supply chain outlook. One final point is that we continue to expect accrued capital expenditures to be below $100 million annually in both 2025 and 2026, supporting cash generation and strong cash conversion over time. With that, let me turn the call back to Tom.
Tom Gentile: Thank you, Patrick. As I mentioned at the start of today's call, I've now been with Hexcel just shy of 6 months. We have bought a home near Hexcel's corporate headquarters, and I'm in the process of relocating to Stanford, Connecticut. I've admired Hexcel from afar for a long time and felt very fortunate to be selected as the next CEO. I feel exactly the same way today. This is truly an amazing and unique company with talented and engaged workforce, strong culture and truly innovative lightweighting solutions. There are significant financial opportunities ahead for years to come via secular growth and cash generation. Hexcel makes a product that is more relevant than ever. Lightweighting future transportation is a critical need in today's world, and Hexcel's technology is front and center in achieving the goal for a more sustainable aviation future. To close, we are faced with some near-term caution as commercial aerospace OEMs moderate their growth rate ramps due to supply chain constraints. However, the medium- and long-term outlook is strong for both secular and cyclical growth. Market demand is not the issue. Experience levels throughout the supply chain will continue to grow and the commercial aerospace OEM build rates will increase to meet the enormous backlog demand for new aircraft. Our focus at Hexcel remains firmly on execution of current programs, innovation to win positions on the next generation of programs, growth, cost control and cash generation. Operator, we're now ready to take questions.
Operator: [Operator Instructions] Our first question comes from Myles Walton from Wolfe Research. Please go ahead. Your line is open.
Myles Walton: Taking a more conservative view on the '26 guidance. I think it's important. In terms of the end market growth that's implied in the '24 guidance, could you give us what those new numbers are today as you sit there? It doesn't look like you'll be far off on the commercial side, but I guess it defense and the industrial side, I'm more curious about. And then as we look to '25, what should we think about in terms of the divestiture headwind from the industrial side?
Tom Gentile: So as we look at the '24 growth, Myles, in terms of the different programs, we saw, for example, that the A350 was pulling at 7 in Q3, and we expect that to continue in Q4. 787 was pulling at about 7, and that should also continue. The A320 was pulling just under 53. And so that -- those should continue. The one, of course, that's the outlier is MAX. That was pulling at 30 for most of Q3, but it was actually pulling at 36 in Q2. So September, obviously, was a falloff. We'll see what happens with the strike outcome and what happens in the fourth quarter. But we basically forecasted fourth quarter with no pulls from the MAX, just to be conservative. And we'll see what happens. If the strike does get resolved before the end of the year, obviously, it won't be 0. But to be conservative, that's what we did. In terms of defense, I would say that the U.S. defense market continues to be very strong. We mentioned the strength in the F-35 and the CH-53K, the Black Hawk. The Osprey, the B-22 has been a little bit soft as it winds down. But overall, the U.S. market grew for us. Where the softness was for us was really in the European market. There were a couple of customers where sales were down for the year. And so we expect that to turn around next year. Now for 2025, the one thing that you asked about was industrial. And the Austrian plants that we are looking to sell represents about a third of our revenue in Industrial. So for next year, it could be a $30 million or $40 million headwind. We've already taken that into account in our planning. But that's generally the outlook that we see for the industrial.
Patrick Winterlich: And Myles, just to kind of pick up on the guidance point, which I think you kind of started with. As you say, we should be close to the mid-teens percentage on commercial aerospace I mean, we might not quite make it call 5% mid-single digit. We should be pushing towards that as long as we have a reasonable fourth quarter in Space and Defense. Clearly, industrial now is going to be down strong double digits for '24. So that's kind of the picture I would paint relative to that originally.
Tom Gentile: Yes. And just let me add one thing on the industrial while we're on that topic is the Austrian plan really has been a focus for wind energy, recreation and marine. And so those will be markets that we will deemphasize in the future. But we're not getting out of industrial. We'll still focus opportunistically where we can use our aerospace-grade carbon fibers on markets, including automotive and pressure vessels, things like that. So it's not an exit of all of industrial. It's just those certain markets that no longer really align with our strategic priorities.
Operator: Our next question comes from Michael Ciarmoli from Truth Securities. Please go ahead. Your line is open.
Michael Ciarmoli: Yes, Tom, to echo, I thought it was pretty prudent to pull that long-term guidance. Just to stay on the production rates and maybe to 0 in on the MAX a little more. You kind of mentioned that rates aren't being cut. We're just not seeing increases. But can you maybe just elaborate on the LEAP? I mean we did see GE clearly talk up 25% in the beginning of the year, they're going to be down 10% this year. And then presumably, they'll be way below that initial, I don't know, call it, 2100, 2200 next year. Is there a destocking situation that we have to worry about on lead board? Does that -- you mentioned you kind of zeroed out MAX for the quarter. Does that encompass LEAP? And maybe just if you could give some color there?
Tom Gentile: Well, we really align weak, partly with the MAX, but also, of course, partly with the A320 because it serves both of those markets. In terms of the production rates for the MAX, we just took the conservative outlook for the quarter. We have plenty of inventory we'll be able to support Boeing. And I think once the strike is over, Boeing, we'll be able to basically recalibrate what the MAX production rates will be for next year. But regardless, we expect them, even for the MAX would be higher next year than they were issue. And we'll wait for guidance from Boeing is exactly what those rates will be, and we will be prepared to support.
Michael Ciarmoli: Is there any difference for the LEAP production rate there? I mean is there a lot of inventory in the channel there specifically where we might see a destock?
Tom Gentile: We're not aware of any. If anything, they've been catching up on production. So it doesn't seem like they have excess inventory and certainly, they have to support the fleet as well. So I don't think destock is going to be a risk at least at this point, we don't see that more than that.
Operator: Our next question comes from Matt Akers from Wells Fargo. Please go ahead. Your line is open.
Matt Akers: Are there other parts of the portfolio you're still reviewing as maybe areas you could shed? Or is this Austria facility? Do you think that's sort of the expense of it?
Tom Gentile: We are looking across the whole portfolio. As you know, we have a fairly homogenous product mix. We provide lightweight materials in carbon fiber composites, matrices, reinforcements, and honeycomb core and engineered core. So we don't have a lot of different parts of the portfolio that would be logical to divest. This plant in Austria was a bit of an exception. It was focused more on these industrial markets, and it really didn't leverage Hexcel carbon fibers. It leveraged industrial-grade fibers and glass fibers. And so increasingly, it just wasn't fitting with our strategic alignment, and that's why we made the decision to divest. But broadly speaking, Hexcel is a fairly homogenous product mix, and we don't have a lot of pieces that we could have off.
Matt Akers: And then I guess as a follow-up, Tom, I guess, what would need to happen for you to think there's enough visibility to kind of give midterm guidance again because it feels like we've been in the situation for years now, we think the supply chain is getting better than kind of the same issues pop up. Is there some way you think we get past that? Or do you think this is just sort of a new normal and the visibility is going to sort of be limited?
Tom Gentile: I wouldn't say it's a new normal, but certainly for the time being, there's a lot of uncertainty. And so we're going to provide guidance for 2025 in January, and that's about as far out as we can see right now. And by the way, we're going to wait to see what Boeing and Airbus announced as we get throughout the whole course of this year before we make that guidance. 2026 is just too far out right now. And so midterm guidance. I think for the timing until the supply chain settles, and we get into a period of stability, midterm guidance would be very difficult for us or any company to provide.
Operator: Our next question comes from Ken Herbert from RBC. Please go ahead. Your line is open.
Ken Herbert: Tom, I wanted to follow up on your initial comments around sort of where you are in terms of the workforce. Are you at staffing levels to support the next move up to 8 a months on the A350? And when do you expect to see that?
Tom Gentile: The answer is yes, and we are staffed to the schedules that Airbus put in place for A315 and A320 and also what Boeing has put in place. Since those got pushed out, so we are a bit overstaffed right now to the current production rates. But those production rates are going to hit as we get into next year, first quarter and second quarter. It would make no sense to reduce our workforce only to have to rehire it. So we're just going to stay where we are. And we've paused new hiring, but we're maintaining our current position, and we are staffed to meet the production rates that are going to be in effect for next year. The good news is because we're already staffed, those employees are getting training and on-the-job experience, which is going to help them in terms of quality and on-time delivery. And so I think it's going to be a win-win for everybody as a result. It's putting a little bit of pressure on our margins right now, but ultimately, it's going to pay dividends in terms of quality and on-time delivery in the future.
Ken Herbert: And maybe, Patrick, is it possible to quantify what that margin headwind has been just from a staffing standpoint alone this year?
Patrick Winterlich: Well, I don't think we're going to get into specifics on margin points. But I mean, you can see that our adjusted EBIT level is not where we would want it to be. It is a pressure we're carrying. I mean, as Tom said, we probably -- we're carrying labor we don't need today, but it's going to come and support us, and we need it in the first half of next year as we see some growth going into 2025, which we fully expect to see, even though the run rates are delayed It is a headwind. I don't think we want to try and get into specific margin points from that.
Operator: Our next question comes from Scott Mikus from Melius Research. Please go ahead. Your line is open.
Scott Mikus: Tom, I wanted to ask, so your sales the last 12 months are about 80% of 2019 levels. And you mentioned that you're a little bit overstaffed right now. I'm just wondering, with all the production rate pushouts that we've seen from Boeing and Airbus, why not just hold extra buffer inventory, so you can ship at higher rates rather than growing your headcount in face of production rates that we've seen shift multiple times?
Tom Gentile: Right. Well, first of all, Airbus has given a pretty clear signal as we said, Airbus is our biggest customer for the A350 and the A320. And we want to be in a position to make sure we can deliver on their schedules for next year. The production rates have been pushing out, and we do have excess inventory, so we can be conservative. But -- the issue is on production, head count is so important. It takes a long time to hire the people than to train them and to get them on the job experience. And so even though we're a little bit overstaffed right now, that was the point I was making to Ken it's going to help us next year as the rates do go up is we're going to have those people already in place, already trained already with on-the-job experience. And that's something you can't take shortcuts to achieve. So while the inventory would help address the delivery of the physical product to make that product, you need an experienced and trained workforce, and that's what we've developed. I think it's going to be a real strategic asset for us. as we get into next year. As I said, every single program we see, including the 737 MAX is going to have higher production next year than it did this year. And so all those people that we have on board are going to enable us to deliver for our customers.
Patrick Winterlich: And the other thing to remember, Scott, is, as Tom said, we do have some extra fiber not inventory, notably fiber. But when it comes to our prepregs, when you involve the resins, the resins have to be when we impregnate the products have to go into cold storage into freezes. And so there is a finite amount, a natural finite amount of capacity for that. So part from not wanting to build huge amounts of excess inventory. There's also a natural barrier to holding too much anyway in the supply chain because of the storage issues.
Tom Gentile: I'd also add, you mentioned it, but we're still only at about 80% of the production levels that we were in 2019. And we have all the capital in place to support higher levels of production. And so right now, we're absorbing a lot of that fixed cost. As the production rates increase and revenues go up, we'll get a lot of operating revenue.
Scott Mikus: And then Patrick, in the past, incrementals normalize typically been in the 30% to 35% range. I know there's a lot of puts and takes. But if you don't have to do much hiring next year, you exit the facility in Austria as well. Should we be thinking about incrementals in 2025 being above the 30% to 35% range that you would normally see in an up cycle?
Patrick Winterlich: Yes. I mean we don't guide, as you know, anymore to incremental margins. We're always going to drive them as strongly as we can. We're going to have to assess where the growth is coming from next year. Undoubtedly, the key commercial aerospace programs are going to grow. We're going to have to understand what else is growing. We obviously have some cost increases. And we've got that, we're carrying that sort of labor into the first half of next year, which we absolutely need that labor, but that cost is not going to go overnight. So we will drive incremental margins as strongly as we can as we always do. that's the only message we can send. But we've got a good cost base. We've got a good headcount base going into next year. I think that's the key point.
Operator: Our next question comes from David Strauss from Barclays. Please go ahead. Your line is open.
David Strauss: Could -- so for the 2026 guidance or the medium-term targets that you're pulling, what had you assumed for rates on maybe on 787, A350 and A320 that you're no longer assuming?
Tom Gentile: Well, we didn't really lay out the specific rates, and the OEMs have provided publicly what their targets are. But what I would say is as we look over the past 1.5 years, the OEMs have each released at least 3 new schedules in each schedule they pushed out production rates on certain programs, particularly the MAX and even the A320 on the Airbus side. And so it's really on the basis of that. And then all the uncertainty that we have here in the fourth quarter with supply chain and the Boeing strike is. We just didn't feel that those rates that we were looking at in February of 2024 were really valid. And so therefore, the whole guidance was really no longer valid. And that's why we decided to pull it. The outlook is very good. If you look at the production rate increases going forward. We just don't know exactly when they're going to hit. So we'll wait until January, and then we'll provide guidance for 2025. And we think that will be a good indicator for the investment community to see the market. But right now, it's just too hard to see. And certainly, 26 is just too far out, given the current uncertainty in the supply chain.
David Strauss: Patrick, a couple of smaller questions. Are you assuming working capital kind of fully reversed in the fourth quarter and you'll generate a fair amount of cash. Are you going to continue to kind of focus on buyback? Or are you going to look to delever a bit. And the other thing on corporate. Can you just -- is that CEO cost is to why it's running higher than kind of typical this year? And does that step down as a percent of sales next year?
Patrick Winterlich: Okay. So in relation to working capital, we'll obviously drive that in the fourth quarter as we always do. I think I called out inventory is an area we're going to focus on not only in the fourth quarter, but as we go into 2025 as well to try and improve our sort of days of inventory, which is really the key ratio inventory relative to the level of sales. In terms of buybacks, well, we're not going to -- we will periodically look at that. I mean in terms of our overall approach, we're going to maintain our sort of net debt-to-EBITDA leverage within the 1.5 to 2 range, we're at 1.9%. We're absolutely comfortable at 1.9. But we're going to stay in that range under 2. In terms of corporate expenses, I guess there's a couple of factors. Yes, there's the CEO transition cost, which is there in 2024, which will go away, that we shouldn't see any of that in '2025. And there's a little bit of intercompany profit elimination, which is sort of a swing factor between Q3’23 and Q3’24 which is also part of that year-over-year difference. Basically, the segments made internal profit, and we have to eliminate it at the corporate level, and that has created a bit of a swing year-over-year.
Operator: Our next question comes from Adam Parsons from UBS. Please go ahead. Your line is open.
Gavin Parsons: It's Gavin. Any change to the lead time from OEM build rate increases just given it seems like they'd want you to ramp up well ahead of time and then when they cut you, it's pretty close to the actual date.
Tom Gentile: Right. Well, we tend to be a little bit ahead of the OEMs about 6 months. And so we are planning our production and our staffing based on that 6 months out. And so when the rates do change, yes, it's difficult for us to respond, especially when we know the rates are going to continue to go up. It's just been pushed out. So it's just the nature of the industry. We are 6 months ahead of a lot of the structures, manufacturers and the OEMs just because we're providing materials. And so for us, it can be a little bit challenging when the rates change as we get closer to the actual production base.
Gavin Parsons: Okay. So no desire or ability to shorten that ramp-up lead time?
Tom Gentile: Not really. We do need to be out in front of the OEMs because we're providing that material. And so this is -- it's a very dynamic time in the industry and rates have been changing more frequently than they normally do. But we're going to have to always be 6 months out in front of the OEM.
Operator: Our next question comes from Gautam Khanna from TD Cowen. Please go ahead. Your line is open.
Gautam Khanna: Forgive me if I missed this, but it sounded as though you have -- you slowed a little bit down on the 737 MAX relative to Q2. But the 787 is continue to ramp sequentially. And I'm just curious, is that pretty broad-based across all your intermediary customers between Hexcel and Boeing? Or are you seeing kind of very different purchasing patterns across the customer base.
Tom Gentile: Well, for Boeing, obviously, the 737 with the strike, there were a lot of stop shipment orders to our plants. And so that impacted September. And so we did see a sequential slowdown from Q2 and also from the first 2 months of the third quarter. On 787, as I mentioned, it's built in Charleston, South Carolina. It's not impacted by the strike. That kept producing and they kept pulling and Boeing was very public about that. And so I would say the rates for us, the pull was about 7% in Q2, it was about 7% in Q3. So it stayed about the same. And I think that was consistent. With Airbus in Q3, and we expected this, we did see a sequential slowdown in the A320 and the A350. The A350 was smaller. It was only a couple of percentage points on the A320, it was probably about 5 aircraft per month between Q2 and Q3, but that was fully expected because in Europe, August is a much slower month, and so it's seasonally slower. So not unexpected.
Gautam Khanna: And I mean, does this -- because the 787 has been assembled, final assembly is at a rate well below 7, as you know. Does this just kind of portend a shallower ramp in the first half of '25 or I'm just curious, how do you think about '25 directionally?
Tom Gentile: Well, we'll wait to see what Boeing's final production schedules are and then we will align to meet those. They tend to -- again, they're pulling from us looking at what their rates are going to be 6 months out. And so that's why you could see a difference between what the current delivery rates are and the rates that we're seeing in terms of the pulp. But for 2025, we expect the production rates on 787 will go up just like on the other programs, we want to be prepared to meet that demand and we are.
Operator: Our next question comes from Pete Skibitski from Alembic Global. Please go ahead. Your line is open.
Peter Skibitski: Just wanted to belabor a topic from earlier as we think about the right way to think about margin rate entering 2025, Patrick, without giving us guidance. If we think about the majority of your key commercial programs being up or at least flattish entering 2025, but maybe the MAX still at 30 and at least initially, should we start out with the year with some margin headwind in 2025 and maybe tailwind as we get to the back half of the year, assuming the MAX does start to ramp? Or would you -- I'm trying to consider labor in that whole calculus as well. So I was wondering what that...
Patrick Winterlich: I think in a broad sense, that, that is probably a correct way to look at it in that we'll get more and more volume leverage as the year goes on production rate increases. And as I think we've communicated before, volume leverage is really the key driver for Hexcel. We need to get back to the 2019 levels of revenue. We need to utilize our capacity to get the true efficiency across our farms. And that volume leverage yes. So every 6 months, as hopefully, we start to see build rates increase, that will help our margins, yes.
Peter Skibitski: And just V-22, the right way to think about it is maybe a couple more quarters of headwind on V-22. It sounds like it was fairly substantial from a sizing for you. And so I guess, as that annualizes in 2025, you should -- maybe the underlying mean growth that Space and Defense should improve?
Patrick Winterlich: Well, we're on over 100 different programs. There's many, many different moving parts in space and defense. I mean the V-22 is essentially sunsetting next year. We think there's probably a couple of aircraft to build. So it impacted this quarter year-over-year, but I wouldn't overplay it in the broader picture, and we've got to assess the moving parts before we can really talk to Space & Defense in 2025.
Operator: Our next question comes from Sheila Kahyaoglu from Jefferies. Please go ahead. Your line is open.
Sheila Kahyaoglu: Maybe just on the 737 because it's such a hot topic, could we go over the rates, Tom, you mentioned, you said you were at 36% in Q2, 30% in Q3. Is it 0 for Q4? And how do we think about potential optionality into 2025, what you're assuming in terms of rates?
Tom Gentile: Right. Well, as I mentioned, the 30 in Q3 was really a function of September falling off in the back half of the month. And so regarding next year, I think it really depends on when the strike ends, and then Boeing resetting the schedule, and we'll wait to see what that is. They had plans in place for higher levels of production next year. Obviously, with the strike that gets pushed out a little bit. And so the book Boeing's presenting tomorrow, of course, bots tomorrow. We'll know a lot more after that in terms of 2025.
Sheila Kahyaoglu: And I know Ken asked some questions about headcount, too. Can you give us an idea of like how fungible headcount is across programs, whether you move folks to A350 from 357?
Tom Gentile: Well, actually, for us, it's very fungible because we make a base material carbon fiber composites rather than in prepregs. And so the materials, while they are different materials, labor is fairly fungible across the programs. And so we can leverage it if we need more Airbus material, the labor is very fungible to do that in our plants. It's just the nature of what we do. We're producing carbon fiber prepreg and leaving and resins. And so yes, the labor is extremely fungible across programs.
Operator: Our next question comes from Noah Poponak from Goldman Sachs. Please go ahead. Your line is open.
Noah Poponak: I guess I'm still confused on -- and I know it's sort of like a lot of moving pieces and hard to answer, but just in terms of what's happening with Boeing, flowing down into the supply chain during the strike. I guess there was a press that said they were kind of stopping the supply chain, then heard a lot of suppliers say that the communication was keep things going pretty close to pre-strike under the hope that there could be a quick resolution. And then I guess on this earnings call, I've heard you say that they slowed you slightly, but then I've heard you say that they've issued stop orders. So I'm just trying to understand if Boeing's action to the supply chain or message of the supply chain during the strike has been closer to full stop or closer to keep going so that we can pick it back up where we left off whenever there's a resolution?
Tom Gentile: That characterization is the right one is they issued a stop ship but they encourage suppliers to keep building so that when the strike ended, they could continue to ship again. And that was the case. And so for us, and in fact, you saw our inventory go up, that was part of it. We stopped shipping to Boeing, but we continue to build into some inventory, and that's why we have a little bit higher inventory. That's one of the reasons why we have it. And that enables us to meet the demand once the strike in and once they start producing it.
Noah Poponak: I see. So it's sort of both at stop ship, but they -- them then counting on everyone to build on their own I guess.
Patrick Winterlich: And the other point, Noah, is that the 737 MAX, as we said many times, is not the biggest program for us. And so those 2 statements, we did have some stock orders during September, but the overall impact in the third quarter was marginal. So those are consistent things and in line with what's considered building inventory. So the bubble charts in the investor deck now kind of it clearly illustrates the relative magnitude of the program, the 350, the 320 and the 787 all bigger than the MAX with its sort of build rate is at the lower end of that 200 to 500 or the ship set at the lower end of that $200,000 to $500,000 range. So I think everything comes is completely consistent.
Noah Poponak: No, that makes a ton of sense. And my question really was an effort to understand the broader ecosystem a little better. But I appreciate that. And then just one other item. The industrial assets that you've discussed disposing of or selling. Is that far down a process and close to complete or that's a process you're just now starting?
Tom Gentile: I'd say we're probably midway through the process. It's something we initiated months ago, but we felt it was the right time to be public about it because we wanted to be open and transparent with our customers as well as with our employees. And so the process is underway.
Noah Poponak: And do you -- Patrick, is there an approximate revenue and EBITDA you have for that?
Patrick Winterlich: It's about a third of our industrial business. And quite honestly, the margin impact is going to be low. That's what I would say.
Operator: Our next question comes from Scott Deuschle from Deutsche Bank. Please go ahead. Your line is open.
Scott Deuschle: Patrick, sorry if I missed it, but was there any restocking benefit this quarter from going to 7 per month on the A350 and 787? Or would that potentially be a tailwind later on?
Patrick Winterlich: Yes. I mean we weren't -- I mean, the $350 million was -- sorry, do you say 797 or 350?
Scott Deuschle: Both.
Patrick Winterlich: Okay. I mean they were reasonably flat. I think, as Tom said, both of them slipped down slightly in the third quarter from the second quarter -- so we didn't really see -- we saw more of a consistent pattern of delivery into those programs. The 350, a marginal slowdown because of the European vacations, but only marginal, the 320 impacts, I think, as Tom said, was more significant. So I wouldn't really call out a stocking impact either way on those two 787 or 350 program.
Scott Deuschle: And then, Tom, it seems like China has become pretty dominant in supplying carbon fiber in a lot of industries outside of aerospace. And it looks like Airbus has brought in Chinese structure suppliers in a fairly meaningful way at this point, I think, with AVIC in particular. I guess my question is, do you see any risk over the longer term that you start to see the Chinese become a more meaningful competitor in the carbon fiber world on the aerospace side, particularly on next-gen aircraft?
Tom Gentile: Great. Well, certainly, on industrial grade fiber China has increased capacity and that has had an impact on price for industrial-grade fibers. But aerospace grade fibers are very different. And there are no Chinese makers today of industrial grade carbon fiber. And it'd be a pretty big LEAP for that to happen. So while they can compete certainly on industrial markets. They are competing on aerospace markets today and probably we'll not do so for the foreseeable.
Operator: Our last question will come from Phil Gibbs from KeyBanc Capital Markets. Please go ahead. Your line is open.
Phil Gibbs: Tom, you may have mentioned it -- you certainly mentioned it on the call this morning that the wide-bodies, the key ones are pulling at about 7 per month. When did that step up in your mind from that sort of 4% to 5% rate that we were at near the bottom?
Tom Gentile: Well, you go back to kind of early '23 and the 787 was in the kind of 3%, 4% range. and then it started stepping up progressively through '23 and got into the 7 range as we got into '24. So that was the time frame. And on the A350, you got to really go back to 2022. It was in the 4 and 5 range, stepped up to the 6% range in '23 and it's kind of moved into the 7 range in '24.
Phil Gibbs: And then on defense, historically, the fourth quarter for defense-related revenues is typically a lot better than the third quarter. I would say, one, is that what you're expecting? And then I know you have a decent outlook for new program growth over the next couple of years, some of that being international. Is that all still holding in your mind as you look ahead?
Tom Gentile: Yes. I mean defense overall is strong, unfortunately, because of some of the geopolitical pressures that are out there. Q4 has been stronger, and we're going to push hard to make that true again this year. And then as we go forward into next year, Yes, the big programs you're on like F-35, 53k, Black Hawk some of our European programs, we expect to see continued strength in those. And so overall, yes, we're very bullish on Space & Defense.
Operator: Ladies and gentlemen, this will conclude today's conference call. Thank you for your participation. You may now disconnect.